Operator: Good afternoon and thank you for participating in today’s conference call. Now I will turn the call over to Chairman and CEO of Digimarc, Mr. Bruce Davis. Sir, please proceed.
Bruce Davis: Thank you and good afternoon. Welcome to our conference call. Charles Beck, our CFO, is with me. We also have Bob Chamness, our EVP, in charge of Sustainability, joining us today to provide an update on progress and prospects in this increasingly important use of our platform in plastics recycling. On the call today, we will review Q3 financial results, discuss significant business developments and market conditions and provide an update on progress and execution of strategy. We have posted these prepared remarks in the Investor Relations section of our website and will archive this webcast there. Before we begin, let me remind everyone that today’s discussion contains forward-looking statements and risks and uncertainties. Please refer to our press release for more information on the risk factors that could cause actual results to differ materially. Charles?
Charles Beck: Thank you, Bruce and good afternoon everyone. Revenue for the third quarter was $5.8 million, essentially flat with Q3 last year. Service revenue increased 6% from $3.2 million to $3.4 million due to growth in services provided to government customers. Subscription revenue decreased 10% from $2.7 million to $2.4 million due to the impact of the renegotiated contract with a retail supplier partner in the first quarter of 2020 that we have discussed on prior calls. Revenue from government was up 4% to $3.5 million driven by growth in service revenue. Revenue from retail was down 15% to $1.4 million, reflecting the impact of the renegotiated contract I referenced a moment ago. Revenue from media was unchanged at $900,000. Retail bookings, which include store operations, supply chain and recycling solutions, were $1.2 million, around the same level as Q3 last year. The most significant factor affecting bookings growth during the quarter was the pandemic effect on the organization of HolyGrail 2.0 and planning for the Golden Thread projects. We signed some new revenue deals in Q3 that did not contribute significantly to bookings as they were primarily early production and pilot projects. However, we do expect these initial activities will grow into larger revenue streams in coming quarters. Bookings during Q3 included several notable strategic developments. We started enhancement of private label packages with Digimarc Barcode for a major retailer in Japan. To date, we have completed more than 70 packages. We expect to transition the enhancement process to a trusted partner in Japan during Q4. We also began a customer-funded study of the commercial viability of laser-engraving serialization with a global brand and its suppliers. We generated follow-on bookings for the variable data printing solution that I mentioned on our Q2 earnings call. And we completed the Walmart Toy Catalog, which began circulating about a week ago. Gross margin for the quarter was 66%, down from 67% last year due to a shift in revenue mix to services. Service margins were 58%, up from 55% last year, due to a favorable mix in billable expenses with higher labor and lower non-labor expenses. Subscription margins were 78%, down from 81% last year, primarily due to lower subscription revenue. Operating expenses were $12.2 million, an increase of 2% from $11.9 million in Q3 last year. Operating expenses during the quarter included nonrecurring severance costs of $800,000 relating to the corporate restructuring we announced in July. Excluding these costs, operating expenses would have declined by 5% due to lower travel, consulting and other costs. We expect operating expenses to range from $11.2 million to $11.6 million in the fourth quarter. Net loss for Q3 was $8.4 million or $0.68 per diluted share versus a net loss of $7.8 million or $0.65 per diluted share in the third quarter last year. Non-recurring severance costs of $800,000 accounted for $0.07 per diluted share of the net loss. Our balance sheet has been considerably strengthened. We raised $2.1 million under the ATM program prior to the TCM investment. The TCM investment added $53.5 million of cash. We have no further plans to use the ATM. We are also shelving the strategic financing initiative for the time being in light of the substantial increase in working capital. We ended the quarter with $62.7 million in cash and investments, including $36.5 million of proceeds for common stock issued to TCM. We received the remaining $17 million of proceeds from the investment on October 1 when the convertible preferred stock was issued. Cash and investments after receipt of the proceeds from the convertible preferred stock issuance was $79.6 million. We filed for forgiveness of our entire Paycheck Protection Program loan in mid-September. The bank has 60 days to review our application, and then the small business administration has 90 days to approve it. We are working on our operating plan for 2021 and have some preliminary views of planning assumptions to share that are guiding our views on allocation of resources for the next year. Our government business is functioning well. We expect revenue to grow mid-single digits and to vary quarter-to-quarter based on timing of when services are performed, with slightly more work in the first half of the year than the second half. We expect revenue from media to be around the same level as 2020. This area of business has stabilized and does not currently warrant incremental investment. We have a small yet great team that continues to work on efficiencies to maximize account retention and contribution margin and explore opportunities for growth. In the primary growth area of the business, we are currently projecting triple-digit growth in retail bookings and revenues in 2021. The growth in retail subscriptions is expected to come primarily from licensing software to partners and end users. Key applications include traceability, brand protection, logistics, recycling and retail store operations. Growth in retail services is expected to be fueled by development and consulting projects associated with the plastics recycling initiative in Europe. We expect subscription revenue to grow at a higher rate than service revenue, leading to an expansion of gross margins, as the incremental margin contribution for licensing software is nearly 100%. Although we expect significant growth in retail revenues, a wide range of potential outcomes is possible for this area of the business due to the timing of closing contracts and other factors, including continuing uncertainties about the effects of the pandemic. We think the most likely outcome is an acceleration in bookings, consistent with our momentum theory of market development, when and how much the rate of bookings growth will accelerate due to tipping points in the market remains hard to predict. The range of potential outcomes is largely a function of the nature and timing of key account developments and the effect of adoption by market leaders on the rest of the industry. We are projecting a modest increase in total expenses in 2021, up single-digits from 2020, reflecting additional headcount to support growing opportunities in plastics and sustainability and the impact of routine cost-of-living adjustments for our existing employees. For further discussion of our financial results and risks and prospects for our business, please see our Form 10-Q that we expect to file shortly. Bruce and Bob will now comment on significant business developments, market conditions and execution of strategy. Bruce?
Bruce Davis: Thanks, Charles. There have been several very positive developments since our last call. Most prominent among them is TCM Strategic’s $53 million investment. It’s a game-changer. We have made great progress in building our platform and developing the market. Now, we have more capital to fuel progress on the path to profitability and establishing Digimarc as a cornerstone of automatic identification of the global supply chain and more broadly, in artificial intelligence, machine learning and augmented reality. Our platform will redefine relationships between people and things in many aspects of commerce in everyday life. TCM Strategic is well informed and ably led by its visionary fund manager, Riley McCormack, a longtime Digimarc shareholder. He was elected to the board yesterday. I expect him to be a terrific shareholder representative and advocate. Most of our shares are held by less than a dozen high-quality long-term institutional investors and he is well-known and respected by our largest shareholders. Knowing Riley well, I am personally excited about the opportunity to collaborate with him. We also elected Alicia Syrett to our Board. Alicia has a remarkable career in the financial markets. Her accomplishments across many disciplines demonstrate entrepreneurial talent and extraordinary leadership qualities and understanding of financial markets, a track record of advocacy for diversity and a mastery of modern media. I expect that she, too, will be a great contributor. These directors bring significant new perspectives and experience to our board, rounding out its capabilities as we advance into the next stage of platform and market development. I particularly look forward to the advice and assistance of our new directors in creating a better understanding of the positioning of our business in the capital markets. Sell-side coverage is limited and focused on short-term financial performance, consistent with small-cap public equity market practices, failing in my view, to communicate the asymmetry of risk and reward of a profitable base business and extraordinary optionality flowing from the stage of development of enormous target markets and the impressive assets we have built to exploit these opportunities. In an effort to better communicate our value to the investment community and expand awareness and understanding, we are planning outreach into historically underserved areas of the capital markets, including the rising tide of millennial investors, ESG funds and European investors. We expect that these segments will appreciate our important roles in areas like food safety and the Circular Economy and the improvements in corporate governance, we have implemented this year. We have seen an expansion of Digimarc Holdings by European funds to nearly 10% of institutional ownership, as reported by NASDAQ. We will do considerable outreach in Europe. There may be a better understanding of our potential contribution to the Circular Economy and the importance of these contributions in Europe, where there are more decisive societal and governmental actions addressing plastic waste, as compared to the U.S. We expect there to be a great deal of activity in the EU during 2021 involving AIM, plastic recycling and other sustainability initiatives involving our company that we need to communicate to investors there. We shelved the strategic investment initiative for now in light of the TCM investment and board developments. The primary drivers of the initiative revolved around access to capital and the optimal use of our limited working capital. The significant strengthening of our cash position allows us to approach these relationships with a focus on operational leverage rather than capital acquisition. Explorations with corporate investors have been helpful and constructively influenced many aspects of the execution of strategy. It’s better for the time-being to focus on the many opportunities for organic growth that are surfacing and on expansion of our shareholder base. Opportunities to improve auto identification span consumer product lifecycles from manufacturing to recycling. The environmental impact of plastic waste is becoming a global crisis. Last year, we demonstrated unique relevance to recycling in technical trials. Our platform demonstration showed promise of unprecedented improvements in quantity and quality of sorting of recyclable materials in waste streams. It’s also obvious that we can play a much broader role in the Circular Economy. Our capabilities have galvanized the industry. Global leaders involved in plastics have gotten together to form an impressive industry initiative, known as HolyGrail 2.0 to determine the path to commercialization of digital watermarking. We have a central role to play in this initiative. The TCM Strategic investment allows us to deploy more resources to address this enormous market opportunity. Bob Chamness, the executive in charge of this area of our business, is here today to provide an update and overview on our progress and prospects. Bob?
Bob Chamness: Well, thank you, Bruce. It’s my pleasure to join the call and to share recent developments and our plans for the recycling and sustainability initiatives. In previous calls, Bruce has discussed the enduring demand for plastic in the global economy and its resilience as a superior product, notwithstanding both negative publicity regarding the damage to our oceans, waterways, and landfills; and increasing government scrutiny and involvement across Europe and in some states and municipalities here in North America. The mission, which we have undertaken with other Holy Grail members is to improve the quantity and quality of recyclable plastic as the foundation of a more efficient system of product design, consumer education, collection, sortation and processing of the waste streams, collectively known as the Circular Economy. The goal of the Circular Economy is to keep plastic out of our oceans, waterways and landfills and reduce air pollution due to incineration. This is a massive, long-term opportunity for the company. Neither GS1 nor suppliers of the products themselves have published aggregate data on the number of plastics-based products currently in global commerce. Best estimates suggest that as many as $300 million or more than 30% of the active SKUs in the market, are plastic. Any reasonable penetration of that opportunity would lead to outstanding returns on our investment to address this crisis. The formal launch of HolyGrail 2.0 in September was a very significant development. The initiative now has over 90 members. Over the past 2 years, we demonstrated the vital role we can play in addressing the plastics crisis at two Holy Grail demonstrations on high-speed sortation equipment. We became the centerpiece of the formation of HolyGrail 2.0, which will test our technology in high-speed sortation of mixed waste at scale in industrial waste facilities in at least two countries. During the past few quarters, our team has focused on speeding the adoption of Digimarc Barcode among brand owners and aiding development of a robust ecosystem for both the enhancement and discovery sides of the Digimarc platform. The pandemic slowed the pace during the first three quarters of the year. Still, initiatives are now accelerating as new projects are being launched and the world is adapting to the new normal of operating in a COVID environment. On the enhancement side, we have made much progress developing a broad and diverse ecosystem that is a necessary prelude to broad adoption. So far, we are engaging in support of recycling and sustainability initiatives with 13 of the top 20 global brands and 4 of the top 5 retailers, who are members of Holy Grail. We are working with their materials and packaging suppliers, mould makers and converters. We are now actively engaged with 24 of the key supply chain members of HolyGrail 2.0 and nearly all of the trade associations and academic influencers who help shape public perception and the legislative and regulatory environment. Lighting up this ecosystem of suppliers and partners is critical to long-term success. On the detection side we have completed agreements with, and accelerated our assistance to, the two largest manufacturers of high-speed sortation equipment, who together provide over 80% of the lines in sorting and Materials Recovery Facilities globally. This work includes the development of prototype detection systems for use in industrial trials and deployment of commercial units shortly thereafter. We are in discussion with several additional suppliers of visual systems and components involved in the analysis of waste streams and companies exploring use our mobile software to provide consumer education and engagement, test systems for the identity of marked packaging and quality assurance. Plans for launching Golden Thread projects in three countries were delayed due to the pandemic but are now gaining traction. As we stated last quarter, these projects are intended to provide commercialization models for brands, retailers, manufacturers, dual systems operators, sorting facilities and other ecosystem players. They aim to test and develop strategies for better recyclability, collection, customer education, sortation and recovery to enable true circularity. Two of these projects have been scoped and budget requests submitted. We believe that at least one will start during Q4. The third has been subsumed within HolyGrail 2.0, and we anticipate meaningful progress in planning and funding for the initiative during Q4. Two other potential Golden Threads are in early formative discussions. A second front is emerging in North America. While the political environment and ecosystem are strikingly different from the EU, several initiatives are gaining momentum. We are supporting and aligning with key North American trade groups to leverage the learnings from Holy Grail and with European government relations initiatives to gain efficiencies and harmonization along the path to globalization. Our global brand customers need such coordination and eventual global standards to reduce operational complexity and compliance risks across their markets. Globalization is inevitable. The Ellen MacArthur Foundation, sponsor of the original Holy Grail project, has collaborated with the World Wide Fund for Nature and the Boston Consulting Group in a call for a UN Treaty on Plastic Pollution. Their business case for a treaty calls for coordination, coordinated investment approaches to support infrastructure development in key markets and innovation. In summary, all signs are green at this point, and we are planning to increase our support for efforts to reduce plastics pollution as we enter 2021. I will now pass the mic over to Bruce for closing remarks.
Bruce Davis: Thank you, Bob. Secular trends in the digital transformation of businesses and increasing evidence of the need to move beyond the UPC are evident in the plastics initiatives, growing demand for serialization and the enduring effects expected from the pandemic. New customer opportunities are in the pipeline in forms of media and industries that I doubt are contemplated by the investment community. As these opportunities mature, it will become increasingly obvious that our positioning as the Barcode of Everything is not hyperbole. The company’s organization continues to evolve with the maturation of execution of strategy, growth in size, breadth and sophistication of the supplier ecosystem and the result of expanding universe of applications being built on the platform. The organization has changed dramatically as we evolve from an IP-licensing company to a customer-centric software and services supplier. I am proud of the versatility, loyalty and focus on our mission of our employees and leadership team as such changes are challenging. We made significant changes in Q3. The primary goals were to strengthen the relationship between product development and sales, improve accountability for customer outcomes, accelerate a transition to the cloud, create better alignment between the organization and the changes in demand profiles we are observing and gain operational efficiencies. With the fundamental building blocks of the platform in place, it’s time to obsess about our customers, both partners and end users, delivering great value efficiently and effectively across a spectrum of enabled applications. Our product and platform development are increasingly informed by end users and their suppliers, bringing problems and opportunities to us that they can believe can be uniquely addressed by Digimarc. There were many very positive developments since our last call. Key takeaways include, we raised $55 million, now balance sheet now is in good shape; we added two new directors to the board, broadening relevant skills and experience, revenues and EPS met or exceeded the analyst estimates for the third quarter in a row despite the pandemic; we continued to navigate the effects of the pandemic well, demand from brand owners increased while U.S. retailer progress slowed some, European and Japanese retailers seem less affected, brand owner demand is growing and expanding into new geographies and new industries, including pharmaceuticals, automotive and tobacco, we expect the shift in revenue mix to persist for the foreseeable future, the key market themes are sustainability, supply chain visibility and brand protection, the recycling initiative is making impressive progress and looks very promising, serialization is another key area of opportunity; our preliminary planning for 2021 indicates substantial growth in bookings and revenues with a small increase in spending, leading to higher gross margin and better cash flow. And as we enter 2021, here is what I view as the keys to success, begin with obsessing customer success, maintaining our excellent rapport with the central banks, delivering exceptional value and expanding our footprint at Walmart, established additional tent-pole customers for supply chain solutions; make advancements in faster, easier enhancement with minimal impact on designs and delivering integrated, reliable quality management to lower the total cost of ownership for adoption of the platform, meet demand for serialization with interfaces to IoT services, including traceability, brand protection and supply chain visibility that’s going to be a big theme, address great opportunities in R&D and techniques for plastic enhancement in thermoform and laser marking; participate in industrial trials with Aim HolyGrail 2.0 and some parallel Golden Threads to stimulate and accelerate adoption in ecosystem development and encourage a second front in North America for the plastics initiatives, expand support and provide more infrastructure for rapidly expanding supplier ecosystems, keep our stable, highly skilled workforce with unrivaled institutional knowledge of the area of science that we operate in, safe, healthy, engaged and productive in the COVID-19 era, and executing effectively on these initiatives should fuel substantial bookings and revenue growth. So with long-term funding secured, new skills and experience on our Board, the formation of HolyGrail 2.0, an uptick in demand for supply chain solutions and the emergence of many new applications of our platform in the works, the future looks brighter than ever. Thank you for your support for our mission and confidence in our ability to achieve it. We wish you all the best in these difficult times. That’s it for our prepared remarks. And now, we will open the floor to questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Jeff Van Rhee with Craig-Hallum Capital. You may proceed.
Jeff Van Rhee: I think you said back in February, up to over 2,000 SKUs, and then the thermal label rollout got delayed, put on hold because of COVID. Just what’s the update there sort of I know you got the Toy Catalog out. But with respect to labeling the private-label products in the thermal labels, have things started to pick back up there? Where do things stand now?
Bruce Davis: So we also began enabling low-touch digital experiences in the store in the last couple of quarters. So we’ve been expanding the footprint. Well, with respect to private brand products that’s motoring along, doing fine, and we are discussing means to move beyond the grocery and consumables area where we’ve concentrated in our initial work. We also are exploring more mobile applications throughout the store. You may have seen an announcement by Walmart that they are embracing a mobile-centric shopping model and hope to have a couple of hundred stores lit up moving forward. I think that’s an excellent initiative by Walmart in order to provide a safer and yet still engaging and efficient shopping experience for their customers and all the others who are in their stores from third parties and store associates shopping for others. With respect to thermal, it’s still on hold, and it’s on hold because it will have a significant impact on store operations when implemented. And there is just too much going on in the stores right now and too much uncertainty for them to begin that rollout in this environment. So I don’t know when it will come back online. It’s pretty close to ready to go. So I am hoping that we can work on developing a store or two at some point to deploy the system and fully to budget and so forth and prepare for broad rollout. But there was just a presentation yesterday by John Furner, who is the CEO of Walmart U.S. talking about his priorities and the environment, and they are still unsettled. And the focus is on things that can have an immediate effect on urgent needs and not so much on longer-term improvements to the retail operating model.
Jeff Van Rhee: Got it. Helpful. You guys talked about preliminarily expecting triple-digit bookings growth in ‘21, obviously, bookings, a bit impacted because of COVID in ‘20. But when you think about that triple-digit bookings growth next year, what are the primary used cases that you see in the pipe right now that are going to drive that?
Bruce Davis: Supply chain and potentially recycling. So the largest growth we expect will be in those areas. As I noted in my remarks, in retail store operations, the U.S. is a bit more disrupted than the other geographies appear to be at this point. But I don’t know if you are watching the news today, where it says more trouble in Europe causing some shutdowns and so forth. So it’s really hard to predict how retail will go next year. But I believe that the increase in demand for supply chain solutions is being driven by the pandemic. So it’s a kind of contra indicator that is – it’s driven by the pandemic as opposed to being impeded by it. And with respect to plastics obviously world has got a lot of concerns right now, but the plastics situation is getting worse, not better. And there seems to be growing awareness of the need to do something and a growing voice, which will motivate change. So I am actually very encouraged about the continuing progress on the uptick and recent progress in plastics in the midst of the COVID crisis.
Jeff Van Rhee: Got it. And then just to follow on that, sort of on your last part there with respect to recycling. What are the sort of the near-term key objectives and milestones of some of these Golden Thread projects? You mentioned a couple of industrial tests you guys minded. Obviously, COVID might handed that to some extent, not sure. But what are the key milestones and objectives? And then also, when do you think some of these products – it sounds like you’re working with a lot of players. When do you think some of those products might turn into meaningful revenue?
Bruce Davis: Okay. Well, I have our expert on the call today, Jeff, so I will turn over the floor to Bob to answer your questions about recycling and plastics.
Bob Chamness: Well, a couple of things come to mind immediately. The Aim Holy Grail project is kind of the mother-load project for purposes of supply chain and partner involvement. And we are working with the brands, the retailers, several of the recycling companies, sorting equipment providers, political organizations and suppliers and plastic producers, in effect, the supply chain. And so we look for that project to be relatively active next year. We are working with that team in terms of the planning of project and its scheduling. Because there are so many players, it is a little unpredictable, Jeff. And so we are working through some of that unpredictability. The Golden Threads are less pan-European. They tend to be focused more in specific countries. And in some respects, those will be easier to drive forward. Again, there are some dependencies. We also look for those to start revenuing next year.
Jeff Van Rhee: Got it. And then just lastly, if I could, you guys obviously got close to $80 million on the balance sheet now. Are there any areas where you plan to really ramp investments over the next 6 to 12 months?
Charles Beck: Yes. We will be increasing our investments in the Circular Economy and helping to solve those plastics crisis.
Jeff Van Rhee: Got it. Helpful. That is it for me.
Charles Beck: Thank you.
Operator: And our next question comes from Jeff Bernstein with Cowen. You may proceed.
Jeff Bernstein: Hi, guys. Just a couple of questions for you. First, can you talk a little bit more about the laser-engraving work that you are doing with CPG, I guess, and supply chain members and talk a little bit about the application there?
Bruce Davis: Not too much, because it’s a confidential project. It’s just that as we talk about serialization, there are three primary means to deliver the serialized data. The one that had been actually a gating factor was digital presses, and that has to do with the scale economies of digital presses versus traditional presses. We had a major technological breakthrough in the past year with respect to what’s called Marker Coder or Industrial Inkjet, overprint, allowing for serialization of traditionally printed packaging. So that’s been the big breakthrough that’s caused us to be able to scale our business materially in that area. The third means of doing it is through lasers. And that is not yet commercially available. It’s in R&D. What we want to do is to assure you that we actually have a very prominent brand and some outstanding suppliers in a collaboration to see if we can get there. And if we do, it is – I think it’s going to be a tremendous opportunity for a change in the world, frankly, that brings serialization at scale to products of all kinds. But beginning with products that you might imagine where the substrate would be more relevant than the labels. So we have the means to do labels. We are working on the means to do substrates. We combine the two, we have got really marvelous opportunity for growth and for a unique advantage provided by our platform.
Jeff Bernstein: That’s great. And then can you talk a little bit about the synergy, if there is any, between the Holy Grail members that you have talked about who are obviously also your key customers for traceability, for supply chain, etcetera, etcetera? Is there cross-fertilization going on there already or are these kind of siloed things still right now?
Bruce Davis: Once again, I will refer to my colleague, Bob, on that one.
Bob Chamness: There is a great synergy between the two and particularly within their organizations. And so we are working to support really all sides of those brands, retailers and others that want to invest in the platform. And part of what makes our platform so attractive is the multiple use cases that can be driven from implementing it. And for some of these companies, recycling alone is a motivator. But for others, they want other use cases, including front-of-store efficiency or supply chain or food safety or manufacturing, all those other things that we can bring to the party. So, for some, it’s closely held, but for most, it is an effort that spreads across the company.
Jeff Bernstein: Great. Thanks very much.
Operator: [Operator Instructions] And our next question comes from Steve Tomkins with Oppenheimer & Company. You may proceed.
Steve Tomkins: Yes, thank you for having us. And my question is, because of the increase in global demand with the retail and all the other members that’s involved with Holy Grail in Europe, do you ever find yourself turning away any business, so you don’t become strayed, and so you are not spread too thin?
Bob Chamness: Well, again, our resolve – I will start, go ahead.
Bruce Davis: Go ahead. Go ahead, Bob. If you want to start, go ahead?
Bob Chamness: Where we try to focus our resources is on the key individuals or companies that are supporting and investing most clearly in the project and in the technology. But I look to engage everyone that wants to be involved, we will just prioritize as necessary to make sure that we deliver high quality and satisfy the customer obsessing on their success.
Bruce Davis: And more generally, Steve, there are two threads to my answer. One is, yes, we will turn away business where we don’t see adequate promise in terms of the scaling of the opportunity beyond the particular need. We are increasingly driving product development out of customer needs, and customers are increasingly coming to us with problems and opportunities they think that we can uniquely address. With all of that said, however, the model that we have is one in which we empower suppliers. And so as we empower suppliers, that application layer gets hopefully increasingly served by the suppliers who then take on that complexity. So our business does not get increasingly complex. It gets increasingly profitable because the suppliers will take on the application layer, understanding and service requirements, and we will gain income from their growth in their business.
Steve Tomkins: Great. Sounds good. Thank you.
Operator: And we have a follow-up question from Jeff Bernstein with Cowen. You may proceed.
Jeff Bernstein: Great, Yes, I just wanted to hear your thoughts a little bit more on Japan. Where I think in the past, what we have read and what you have talked about is there’s a little bit of more of a collective approach to adopting new technologies across the supply chain rather than the kind of individualist stuff that goes on in the U.S. and a more consolidated group of suppliers. So kind of breaking the ice with the first player there maybe is a prelude to a more accelerated adoption, but you tell us?
Bruce Davis: Well, Charles, actually, is our executive who provides primary oversight and direction for the Japanese market. So I will ask Charles to respond to that question.
Charles Beck: Yes. So our strategy in Japan is we have not invested heavily on boots in the ground. We have a sales executive that our strategy is really centered around enabling partners to deliver to the retailers and brands. And we have a number of projects going on. We have got good engagement from our partners. This was kind of our first breakthrough. As I’ve mentioned before, the challenge that we had in Japan was that some of the hardware just didn’t work as well with our technology just in the fact that the hardware wasn’t having the latest optics or CPU or those sorts of things. So it was less than suboptimal. We have started to make significant improvements there to where the hardware ecosystem is a lot more supportive of our technology. And this was kind of the first instance where we had a significant update to scanner software that then enabled the ability for the retailer to utilize the technology in front of store. And we are continuing to make progress there. We have got good tie alignment with a number of key partners there that I think will open up the doors for additional opportunities.
Jeff Bernstein: That’s great. Thank you.
Operator: And we do not have any further questions in queue.
Bruce Davis: Alright. Terrific. Well, thank you, everyone, for participating, and we look forward to any follow-up questions you may have and to speaking to you soon. So thanks very much. Stay safe, and be well. 
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating and you may now disconnect. Everyone, have a great day.